Operator: Welcome everyone to the First Quarter 2013 Greatbatch, Incorporated Conference Call. Before we begin, I would like to read the Safe Harbor statement. This presentation and our press release contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and involve a number of risks and uncertainties. These risks and uncertainties are described in the company's annual report on Form 10-K. The statements are based upon Greatbatch, Incorporated’s current expectations and actual results could differ materially from those stated or implied. The company assumes no obligation to update forward-looking information included in this conference call to reflect changed assumptions, the occurrence of unanticipated events or changes in the future operating results, financial conditions or prospects. I would like to now turn the call over to today's host, Vice President and Corporate Controller, Tom Mazza. Please proceed.
Tom Mazza: Thank you, Erica. Hello everyone and thank you for joining us today for our 2013 first quarter earnings call. With us on the call are Thomas J. Hook, President and Chief Executive Officer, and Michael Dinkins, Senior Vice President and Chief Financial Officer and Betsy Cowell, Vice President, Finance and Treasurer. Going forward, Betsy will be your contact for Investor Relations. Please join me in welcoming Betsy to the Greatbatch team. In terms of today's agenda, Tom Hook will start off with a few brief comments regarding our first quarter results and provide an update of our strategic objectives. After that Michael will provide some additional comments on the first quarter performance including comments on our working capital and cash flow and confirm our 2013 guidance. We will open -- we will then open the call to Q&A. As we have done in the past, we are including slide visuals that go along with this presentation, which you can access on our website at www.greatbatch.com. With that, let me turn the call over to Tom Hook.
Thomas Hook: Thank you, Tom and welcome to all of you who are listening on our call today. We are pleased to be able to share with you our results for the first quarter. Adjusted diluted EPS increased $0.07 to $0.44 per share, which represents a 19% increase over the first quarter 2012. This improvement as well as our increase in adjusted operating income was fueled by our improved gross margins and continued focus for RD&E expenditures. Michael will discuss our financial results in further detail later in the presentation, but you will notice the following significant improvements in our quarter-over-quarter performance. 340 basis points improvement in gross margin, continued focus net research, development and engineering spending resulting in a $2.8 million reduction and adjusted operating margin performance of 13%, up 320 basis points over the prior year. For the quarter, adjusted EBITDA improved by $3 million to $28 million, which represents a 300 basis point improvement to 18.9%. As expected, our CapEx run rate is decreasing as most of our expenditures for plant consolidations are behind us now. CapEx was reduced by $3 million to approximately $7 million for the quarter. Slide six outlines our first quarter organic growth by product line. On the next several slides we will discuss the quarter results and our outlook for the remaining part of the year. I would like to address our sales performance, where adjusting for that sale of our non-core orthopedic products, we saw a 4% sales decline year-over-year. We experienced lower volume in the cardiac, neuromodulation consistent with the underlying market. Due to OEM focus on inventory levels, our first quarter order intake in that revenue was less than expected. For the remainder of the year we expect customer ordering patterns to normalize and we would also have new product launches that are deepening our relationship with our OEM customers to help us grow this product line faster than the underlying market. Our vascular business was down $1 million year-over-year, again due to customer inventory adjustments. This business will be challenged throughout the year. As you know, we voluntarily recalled several vascular medical device products and we are diligently executing our plans to have these products back in the market in the second half of this year. With regard to our orthopedics product line, after adjusting for the sale of certain non-core products, during the quarter of $4.2 million, this product line showed strong double-digit growth, which we feel will continue throughout the year. We also launched several new products specifically cases and trays in the quarter. Turning to our Electrochem business, our portable medical business was slightly up 1% in the first quarter. We are experiencing continued strength from our fourth quarter product launch with one of our largest portable medical customers. We should mention that in the first quarter of last year, we had the upside of new product introductions. For the second half of the year, our customers are launching new products and redesigning existing products, which will accelerate our growth. Rounding out Electrochem business, we were up against strong comparables in our energy, military and other product lines. We believe that some of the lighter customer demand was attributable to price increases announced in the fourth quarter 2012 with more customers buying forward. We expect customer ordering patterns to normalize and are already seeing run rates for the first part of the second quarter improving. We will continue to execute on our pricing strategy and rationalize lower value products throughout the remainder of the year. This is the same slide we used at our Investor Day meeting because as we continue to execute our plan, I would like reiterate two of the important strategic points to everyone on the call. Our core business is well positioned because OEM customers leverage our portfolio of intellectual property and have entered into long term agreements, which secure our core business revenue streams. Second we are building a healthy pipeline of opportunities as we work with OEM customers on projects. Additionally we have enhanced our sales and marketing capabilities to take our existing portfolio of intellectual property and manufacturing excellence to new customers and new markets. Combined this with stronger discipline to ensure we had adequate returns for our projects, we expect our bottom line performance will continue to improve. With these in mind, we wanted to update you on two initiatives, Algostim and orthopedics. First commercializing Algostim. Slide 13 outlines our development, clinical and regulatory approval actions, designed verification testing activities are on track. We initiated two animal studies for support of our literature based PMA submission later this year and we are well in line on our CE mark submission. Operationally we are identifying and signing up key suppliers. Also our collaboration with JPMorgan, who as you may recall is assisting us in identifying commercial partners is progressing well. Turning to Orthopedics, as of the end of the first quarter, we had completed the product transfers to our Fort Wayne, Indiana and Tijuana and Mexico facilities. Plant and product validations are essentially completed and we are working off the $2.9 million backlog as our plant staff up to full production. We are experiencing strong growth in orthopedics and expect this to continue not validating our strategic decision to consolidate this business. I will now turn the presentation over to Michael Dinkins to provide more detail on our first quarter results and recap our guidance for the year.
Michael Dinkins: Thanks, Tom, and good afternoon everyone. I am very pleased to be on the call today and provide a brief update on our first quarter 2013 results and confirm our full year guidance. For more specific details regarding our financial results for the quarter, we refer you to our press release that we issued earlier today. With that, let’s get started. As shown on slide 16, operationally our team delivered strong margins and operating income. This execution resulted in a double-digit adjusted EBITDA growth to $28 million for the quarter or 11%. The key highlights for the quarter are as follows. Sequential gross margin improvements over the last five quarters to 32.9% in the first quarter 2013 planned RD&E rationalization were $2.8 million lower spending year-over-year, respectable portable medical growth and strong double digit organic growth in orthopedics validating our consolidation decisions. (inaudible) continues on schedule and adjusted diluted EPS up 18% to $0.44 per share. I will address our cash flow later in this presentation. On slide 17, we provide EPS reconciliation for the quarter compared with first quarter of 2012. The key highlight for the quarter is the positive $0.07 adjusted EPS impact from the plant consolidations and our ongoing continuous improvement efforts. In addition, we benefitted from the focusing of our RD&E efforts. Equally important is that we are investing on the sales and marketing resources to enable us to build a pipeline of projects with our OEM customers to sustain at least 5% organic growth in the future. Slide 18 details our balance sheet items for the quarter. Receivables increased $3.6 million as many of our customers held payments until the end of the calendar month. Our balance is now in line with revenues having received approximately $20 million in the first two weeks of April with a good portion of our payments coming from our European customers. We have several efforts to try to improve our future performance. The 10% jump in inventory was caused by several factors. We replenished our safety stock in the quarter to being compliant with contractual requirements. This represents about $5 million of the increase. We also brought several key materials. Given the uncertainty of the global supply and suppliers to several key materials such as Titanium, we increased our inventory levels by approximately $2 million. Finally raw materials increase as a result of the plant consolidations and start up of production at the new site. Now that we have completed the product moves, we have implemented a plan to more tightly tie our purchases to revenue forecast. Our working capital performance negatively impacted our cash flow by $35 million, which included a $90 million reduction on accounts payable and accrued expenses. The reduction in accounts payable and accrued expenses was primarily due to annual bonus payments in March and several severance payments as a result of the plant consolidations. All of these factors resulted in the use of operating cash flow of $7.6 million for the quarter. We still expect a total year cash flow, excluding the $30 million IRS payment to be approximately $90 million for 2013. I will be happy to answer any questions on the drivers during our Q&A portion of this call. We are reaffirming our guidance for 2013, based upon further quarter, the early April indications and our targeted second half of the year product line plans, we believe revenue will be closer to the lower end of the revenue guidance. Our operating performance in the first quarter provides comfort and our ability to deliver 12% to 12.5% adjusted operating margin. Because our production facilities continue to deliver productivity and these results should continue as volume leverage will have a greater impact in the second half of the year, partially offset by our variable compensation expense and we continue to estimate that our RD&E expense would be a few million to low prior year. The drivers for the EPS improvement is the same data we shared with you at the Investor Day presentation and as stated we continue to be comfortable with our guidance. Let me now turn the call back over the moderator so that Tom and I can address your questions.
Operator: (Operator Instructions) our first question comes from the line of Charles Croson with Sidoti & Company. Please proceed.
Charles Croson - Sidoti & Company: Hi guys, how is it going? Can you hear me okay.
Thomas Hook: Absolutely Charles.
Charles Croson - Sidoti & Company: Great. Thanks. So I wanted to address two things right here. The topline being below estimates here and I am just trying to get your sense what gives you the confidence to maintain guidance in light of that?
Thomas Hook: Charles this is Tom. Look we were at the beginning of the year was obviously the finishing up the move on the orthopedic side of the equation, so we shut down the Swiss facilities, didn’t have the ability to ship out of the North American facilities yet, so we had expected that we were going to have shortfall on orthopedic revenues because of the sale of assets and because of that qualification gap and in the second and third quarter we would run out more of the backlog. I think we expect the cardiac rhythm management that there is the market that in terms of them obviously were linked at volume more than the ASPs of OEMs, but the volume is down in those markets; however, we are launching a lot of technology into both CRM and neuromod applications that allow us to still be relatively flat to slightly up in terms of where we view the market opportunities as we move to the second half of the year and we also in vascular feel that we are going to bring the two products that we had removed for the recall back into the market for the plans that we are ahead smoothly and all of those factors together will allow us to continue to execute along with the portable medical opportunities that we see in the funnel that we are progressing per plan in the timeline. So when we take and phase out each of those categories and the plans for the year and how we are tracking against them, we came in below my satisfaction level for the first quarter, we see the progress being made across the Board in all those product line revenues from now to the second half of the year, we've already seen the pickup in the second quarter and we see that it will be coming in towards the lower end of the range of guidance but still within the guidance spend.
Charles Croson - Sidoti & Company: Okay. I see. That’s helpful. And then one more question there and on the topline and particular portable medical segment, when do we see that growing on may be the high single or high single digits or so and we were expecting a little bit more growth there, I am just trying to get your take on that and then just one quick one on expenses.
Thomas Hook: Charles this is Tom Hook again. The simple answer to that is really second half. We pushed a lot of projects through the funnel in 2013, so we have a little bit of a tough comparable in -- excuse me, 2012 we pushed a lot of products through the funnel. 2013 we were getting some tough comparables in the first half and the second half, we were pushing a whole set of additional products through the funnel which start to monetize for us in the second half and we will build on as you remember from investor data and portable medical revenue build slide as we launched products that tend to add to the replacement markets and prior products and that’s what going to pick the growth rate up for us on a year-over-year basis and a total year basis.
Charles Croson - Sidoti & Company: Okay. Okay. That’s helpful. Thanks, thanks Tom and then just one last quick one here on R&D, it looks like you guys rationalize that a little bit quicker than I was anticipating, so you know a good job there, is this kind of the level we should expect? I know you said few million below the prior year but I am just trying to get a sense of what a few million actually means.
Michael Dinkins: Yes, see Charles just be careful when you look at RD&E because there are few factors timing and then there is rationalization. We are rationalizing and focusing on the primary projects that we've already communicated at Investor Day like Algostim. I mean clearly some of those products are reaching maturity in terms of their product development, so their expenses are starting to curtail anyways so that there is a focusing type in rationalizing of R&D which still hasn’t been fully realized yet however, which we are also seeing in some of the timing of -- and our repayments from customers and the actual expenses from projects coming through and so we do have some favorability but we still think that for the remainder of the year, there is more favorability will get out of the focus in the crescendoing of the Algostim project as that starts to come down to fruition.
Charles Croson - Sidoti & Company: Okay. Okay, I really appreciate the answers Tom, I'll hop back in the queue.
Operator: Your nest question comes from the line of Charles Haff with Craig-Hallum. Please proceed.
Charles Haff - Craig-Hallum: Hi, thanks for taking my questions. I had one regarding the DVT expenses in the quarter. It looked like they were about 30% or 40% higher this quarter versus the couple -- previous couple of quarters. I wonder if you could kind of give us some insight there. Should we expect this level, similar level in the next couple of quarters or will we kind of revert back to where we were before?
Thomas Hook: Charles, what you are going to see is about $5 million for the year for the DVT expenditures. We were pushing through the completion of a good chunk of the DVT right now including some at the start of the animal trials. So it’s not going to be a regular expense at a consistent level that will actually taper off as the various elements are validated and verified. So it will be consistent. About $5 million for the total year is a good estimate.
Charles Haff - Craig-Hallum: Okay.
Michael Dinkins: About a good portion of that’s been in the second quarter and then a smaller amount in the third and fourth.
Charles Haff - Craig-Hallum: Okay. Thank you. And then on inventories, I saw those went up about 11%. You mentioned some things about Titanium in the prepared remarks, but will this -- will these inventory levels be reversing in future periods this year or is these sustained higher levels of safety stock for the remainder of the year or how should we think about that.
Thomas Hook: In terms of the safety stock, roughly the $5 million that we had there, that is the compliance level, we pretty much stay close to that throughout the year, so that you are going to expect to continue. We did end up with more (inaudible) in working process than what we would like to have. So we do expect some improvement in our inventory performance going forward relative to our sales levels and as things calm down and our plans and we are running and giving our forecast and the (inaudible) we should be able to bring that down and do better in the second quarter and get back to more normal levels.
Charles Haff - Craig-Hallum: Okay. Great.
Michael Dinkins: And just be clear, when you look at raw materials it’s just that you got to be -- you have to always be careful that we do raw material purchasing on a strategic basis to avoid supply chain disruptions downstream. So when we are doing it's with a lot of consideration to make those purchases of raw materials whether it's materials for orthopedic implants like Titanium or Tantalum for capacitors, we would do that only when strategically necessary. We don’t have to maintain minimum supply levels for that. It's only the finished goods that we have contractual obligations for supply to maintain. So we must contractually have those at certain levels for customers and they cannot be reduced once we achieve them unless the customer elects to depress the inventory and give us kind of a catch-up time to do it.
Charles Haff - Craig-Hallum: Okay. Thanks for the insight there. And then my last question is regarding growth. Kind of along the lines of the previous question, but just wanted to get a little more color in terms of the visibility that you have? I understand you know the factors that you believe are going to play out this year and then looking at the year-over-year comparisons it appears as though this first quarter was the easiest year-over-year comparison relative to the remaining quarters of this year. I am just wondering if you could kind of talk about the visibility, just to kind of give us little bit more comfort in a lot of these things actually occurring this year and may be comment on your prepared remarks, you mentioned revenue growth of at least 5%, I understand that might be aspirational, but if you could kind of talk about that a little bit, that would be great.
Michael Dinkins: Sure Charles. I would say that we still remain fairly pessimist in a lot of the markets, but aggressive in terms of our ability to execute against customer programs and it's the funnel of customer programs that really set the tempo for how we look at our revenue prospects going forward. They are still eagerly adopting technologies that we work with them for years across a majority of the product lines. We have customer programs for their product developments to feed their regulatory submissions and their revenue streams. So we build our revenue picture based off what our OEM customers are executing against in their plans as well as their core product lines, but we still apply a kind of a pessimistic picture of what we expect out of the core markets, given some of the challenges that our individual customers are facing. So when we add up the picture of core market growth, which is pretty meager in a lot of the product lines. We add that to technology implementation programs that the customers have running as well as new product wins that we are qualifying in with existing customers and also and new customers. We still see -- and are really planning for second through fourth quarter this year that will be back on stream, shipping from the North American orthopedic facilities, we see the combination of that coming in, in other words a lower end of the revenue guidance, but we still see a growth environment through the execution on all those programs. We are not expecting a lot of market growth to be able to flow with the tides for us. We expect that it's going to be pretty aggressive and I think as we look forward, we are not really projecting that that’s going to percolate up. We are going to have to earn every percent we get. So for us for the year it's still going to be a challenge of revenue growth, but we do see the opportunities out there and we definitely feel that we will get growing back in vascular with the product introductions that we are back in line with the market again. In orthopedics we've been able to percolate right back to a double digit growth rate following the moves and shut downs from Switzerland. So we are bullish in the second half of the year as well. But I don’t expect -- you are not going to expect to hear a lot of bullish comments from me about tariff or the management, but neurostimulation will begin to build in significance as we get out towards the end of 2013 into 2014 because of the amount of work we've done over the last three years in product development on those areas.
Charles Haff - Craig-Hallum: Okay.
Michael Dinkins: …and for that is not a bad landscape for us.
Charles Haff - Craig-Hallum: Okay. And just a comment on the year-over-year comparisons, any thoughts there? Does it present any challenges or do you feel like you have good visibility on the new product flow that kind of takes care of that?
Michael Dinkins: Always challenges, we had very good visibility and metrics to the programs, which give us confidence. You can imagine that one of the things that you are very used to hearing from us is kind of seasonality out of the European facilities. We obviously still have that in our French facility. However, the Swiss facilities are shut down and we won’t be turning off our North American orthopedic plants in August like we used to in Europe. So we will be shipping consistently through the third quarter as well. So some of the seasonality of that even will go away towards the second half. We've done a very good job across all the businesses and winning new business. So I think that also reads a little bit of bullishness from us even though we are not seeing any market push though in terms of volume. We are seeing and have for several years a very health funnel of product development initiatives within all the core project areas and especially in areas like portable medical which tend to be large project volume drivers when they come and they tend to level off a little bit so they can launch new projects every single quarter in portable medical and you can see the effect that it has on the growth rate and we are not launching a product that will level off growth for that quarter, but we still see a very rich product funnel in portable medical that’s going to end up increasing the growth profile of the entire company in the second half because of the meaningful revenue we have in that product line now as well.
Charles Haff - Craig-Hallum: Okay. Thank you for your time.
Operator: Your next question comes from the line of Glenn Novarro with RBC Capital Markets. Please proceed.
Glenn Novarro - RBC Capital Markets: Hi. Good afternoon guys. I have a few questions here on the orthopedic side. You talked -- you called out the asset sales $4 million, is that $4 million per quarter, so how should we think about this from a modeling point of view is the first question?
Michael Dinkins: On an annualized basis, it's roughly $15 million evenly split among the quarters with the one quarter being down a little bit will be the third quarter.
Glenn Novarro - RBC Capital Markets: Okay. So then my follow-up to that is that’s a lot to offset, but I am assuming you do have your business and contracts in place to offset it. I think this is why you have confidence, is that a fair assumption?
Thomas Hook: We think that in terms of offsetting, we've obviously called out some non-core low margin products that we did not move out of Switzerland. They just didn’t have enough volume and they would be too expensive to move and there wasn’t enough margin to return on net investment. But you are right, through new product launches, with new customers or existing customers, we are replacing those orthopedic revenues with other product sales revenue and that’s what's making us -- the execution on those programs is why the revenue -- organic revenue growth rate for orthopedics is up in the first quarter and why we expect to for the year to be a strong double digit grower. But I think additionally you remember we are not moving the implant facility in Fremont that’s been a very steady operational facility for us. We have been growing in that product category as well and we intend to base that execution because of our programs we have currently implemented and we were executing on we continue to expect the growth in that plant as well based on the tremendous execution of the Fremont operating team and the customer wins that we have. So really an orthopedic and I think in both sides of the equation, both in instruments, trays and then also in implants we expect good growth opportunities and a good deal funnel for us going forward to drive revenues.
Glenn Novarro - RBC Capital Markets: And can you just remind me that this is the type -- this is a little bit different relative to CRM where you have a lot of customer contracts and long lead times. There is more business that can be picked up quicker in orthopedics as well, correct?
Thomas Hook: That’s correct and then instruments in the cases in tray side, the product life cycle is much shorter, so within the course of the year, we can pick up revenue and ship revenue. On the implant side, it is more CRM like and as you know we've owned that business for several years. We've qualified new customers. We've extended our relationship with our key customer there which is DePuy and we've grown the business and the planned output year-over-year and we've won a lot of business there. So I think it's more CRM like an implant. Obviously we have a long term agreement that covers that facility with DePuy and we've executed against it and we've been rewarded with more business and the combination of both new customers and expanding the existing and deepening relationship with DePuy has allowed us to grow that, but is more similar to the CRM type agreement that it takes years and years to get qualified for those products and then we have long term agreements that protect the business for the foreseeable future.
Glenn Novarro - RBC Capital Markets: Okay. And just one quick one for Mike, I just want to make sure my math is right. The operating margin -- the adjusted operating margin in the quarter come in around 13%.
Michael Dinkins: That is correct.
Glenn Novarro - RBC Capital Markets: So that’s only trending above your guidance today. So what is it over the next couple of quarters that brings the operating margin back down in that 12%, 12.5% range where guidance is.
Michael Dinkins: Two things that will bring it down slightly. First we are encouraged that there was higher than what we anticipated in the first quarter and we obviously want to hold on to the high gross margin that we have, but two things that will impact it going forward is that one, as our portable medical business trends from roughly 12% of our revenues or 15% of our revenues in the second half of the new product introductions. They are slightly lower margins then our other product lines and that will give us a little bit of an unfavorable mix and we book our variable compensation as we in line with our earnings comment, so there will be a little bit higher variable compensation in those numbers in the second half also. So those two factors will slightly bring the margins down, but obviously we are off to a good start and will close into the 12.5% than the 12.0% in terms of where we might see for the year in terms of operating margin performance.
Glenn Novarro - RBC Capital Markets: Okay. Great. Thanks Mike.
Operator: (Operator instructions) Your next question comes from the line of Brooks West with Piper Jaffray. Please proceed.
Brooks West - Piper Jaffray: Hi, Mike I had a question for you on the timing of OEM customer purchases between Q4 of last year and this quarter and we saw another OEM supplier into the cardiovascular space coming light on revenues this quarter and my question is I know some of your OEM customers who are accounting for the medical device tax in cost of goods sold, did buy inventory and they are actually assigning the tax to work in progress and so I am wondering it was that because of the kind of bigger purchasing in Q4 versus Q1 and your thoughts on kind of how long it might take them to work through that inventory?
Michael Dinkins: I can’t confirm the reason why they did, what they did. So I won’t speculate that. But that’s one logical explanation of why they would have the pattern that they have, but I can’t confirm that with them, but we think it was a combination of that, that they did but heavier in the fourth quarter. In addition, we are seeing our OEM customers pay more attention to the inventory levels and to just trying to bring their inventory levels down. So I think it's a combination that there was some bipolar reason. Again I am confirm, but we believe that the medical device tax along with some other things would be quite a good driver and they are focusing on managing their inventory levels. As we go into the second quarter, we are starting to see a normalization of the ordering pattern from our customers and that’s one of the reasons why we believe we will be at the lower end of the range because we are not seeing the same pattern of -- and volume of orders that we saw in the first quarter.
Brooks West - Piper Jaffray: Okay and then on the guidance at what point -- I am trying to relate the pointing out towards the low end of the revenue guidance to the EPS range, at what point should we start to think about a lower -- looking at the lower end of the EPS range in relation to the revenue performance.
Michael Dinkins: Well I think that we have had in terms of sustaining our margin improvement, so we are not giving guidance at the lower end of the EPS range. We are giving guidance to the lower end of the revenue range.
Brooks West - Piper Jaffray: Fair enough. Thank you.
Operator: We have no further questions at this time. I will now turn the call back over to Tom Mazza for any closing remarks.
Tom Mazza: Thanks. And I would like to remind you that both the audio portion of this call and the slide visuals will be archived on our website at greatbatch.com and will be accessible for 30 days. Thanks everyone for joining us today.
Operator: Thank you for your participation in today's conference. That concludes the presentation. Everyone may now disconnect and have a great day.